Operator: Good day, and welcome to the Capital Senior Living First Quarter 2018 Earnings Release Conference Call. Today's conference is being recorded. The forward-looking statements in this release are subject to certain risks and uncertainties that could cause results to differ materially, including, but not without limitation to, the Company's ability to find suitable acquisition properties at favorable terms; financing; licensing; business conditions; risk of downturns in economic conditions, generally; satisfaction of closing conditions, such as those pertaining to licensure; availability of insurance at commercially reasonable rates; and changes in accounting principles and interpretations, among others; the other risks and factors identified from time-to-time in our reports filed with the Securities and Exchange Commission. At this time, I'd like to turn the conference call over to Mr. Larry Cohen. Please go ahead.
Lawrence Cohen: Thank you. Good afternoon, and welcome to Capital Senior Living's First Quarter 2018 Earnings Call. In the first quarter, we continue to take action to improve all aspects of our business, including leveraging our operational scale to reduce costs, increase cash flow from operations, and drive sustainable growth. As we maintain a culture of high reliability, accountability, and operational excellence we also continue to make excellent progress against our strategic plan. Despite the effect of seasonal attrition on occupancy we saw year-over-year growth in same-community revenue and net operating income, and our cash flow from operations exceeded our internal projections. By building on our 2017 cost control initiatives with further improvements in the first quarter, we have lower than anticipated expenses. Brett and Carey will discuss these initiatives as well as our 2018 cost initiatives which are expected to have greater impact throughout the year. Consistent with our goals from last quarter, we remain committed to improving our operational and financial performance. We are reaffirming our full-year 2018 guidance and we remain focused on executing our comprehensive strategy to deliver higher revenues, enhanced cash flow and maximize the value of our owned real estate. With that, let's turn to some operational highlights from the quarter. As expected high seasonal attrition decreased same-community occupancy 100 basis points sequentially from the fourth quarter. We continue to be particularly pleased that the proactive systems and protocols we implemented to combat the severe flu season greatly minimized its spread throughout our communities. Our flu protocols kept our residents healthier and allowed our communities to continue touring and leasing during the severe and extended flu season. With the implementation of new sales and marketing initiatives, we achieved the highest number of first quarter move-ins in the history of the company and ended the quarter with the lowest amount of first quarter occupancy loss over the past three years. Our net quarterly loss of 84 units was better than we projected and considerably better than the quarterly occupancy loss of 216 units during the first quarter of 2017. As a result, we end the first quarter at a better position from an occupancy standpoint that we have been in the past three years and are projecting occupancy growth for the full-year 2018. We also saw an increase in same-community average monthly rent of 1.7% compared to the first quarter of 2017. Rate growth would have been higher, but for some one-time short-term concessions offered during the quarter. These concessions burned off in March and we expect annual rate growth to return to around 3% in future quarters. As always, we are focused on driving efficiencies and maintaining a durable cost structure. To that end, we maintained the lower expense base that we achieved in the last couple of quarters with same-community operating expenses increasing only 1% from the first quarter of the prior year. The combination of improved pricing and our cost initiatives resulted in approximately a 1% improvement in same-community net operating income compared to the first quarter of 2017. I am also pleased that March was the 7th consecutive month that we achieved year-over-year growth in same-store net operating income. We are also expanding our talent. Our people are the most important asset, and their engagement and development are critical to continuing to serve our residents well and to helping us achieve optimal operating and financial performance. During the first quarter, we hired Jeremy Falke in a newly created role as Senior Vice President of Human Resources. Jeremy’s breadth of experience in the various disciplines of Human Resources notably within the healthcare industry enables him to make significant contributions to the future development of our organization. We also added a Vice President of Sales and Business Development and are looking forward to a Vice President of Operations join us next week. These new positions will provide additional strategic oversight to our sales and operations organizations. Both individuals possess outstanding backgrounds academically and professionally and are expected to be immediately impactful in driving improvements in our operating and financial results. As we discussed last quarter, we are well positioned to profit from expected stronger economic growth and improved consumer confidence. Our residents, most of whom live on fixed income benefit from higher interest rates. Higher interest rates also constrained new supply. So we would expect to benefit from increases in occupancy and higher monthly rates driving more robust organic growth. This growth is expected to be further supported by near-term demographic growth and expected increases in penetration rates. As one of the largest senior housing owners by percentage of ownership, we enjoy a number of advantages, including the value derived from our owned real estate and the ability to capture the full benefit from our operations. We also benefit from financing our owned real estate with attractive non-recourse fixed rate mortgages with low interest rates and strong coverage ratios. This positive leverage would magnify our performance in a stronger economy. Let me just summarize before handing the call over to Brett. We made broad based organizational and operational changes in 2017 to refocus our company-wide culture of high reliability, accountability and operational excellence. The initiatives we have implemented along with additional initiatives scheduled for implementation throughout 2018 are expected to produce further improvement in our key metrics and provide a strong foundation for us to execute a long-term strategy focused on organic growth, accretive acquisitions, conversion of units to higher levels of care, and EBITDAR financing capital expenditures. By diligently executing the strategy, we expect to increase revenues, reduce operating expenses, and increase EBITDAR and CFFO. I would now like to hand the call over to our Chief Operating Officer, Brett Lee. Following Brett's comments, Carey Hendrickson our Chief Financial Officer will discuss our first quarter financial results. Brett?
Brett Lee: Thanks so much, Larry, and good afternoon everyone. We have discussed in prior earnings calls that Capital Senior Living is in the process of making a fundamental shift in our operating platform from a largely decentralized model with a great deal of local autonomy to a more balanced model that allows for centralization of certain functions to create a better and more consistent level of service for our local operators, while still allowing them the degrees of freedom required to understand and react to unique circumstances in each one of their markets. I am excited to share with you that we continue to make tremendous progress toward this goal. With every decision we make in terms of rolling out our more centralized operating system, we keep three intertwining goals in mind, creating the safest and most welcoming environment possible for our residents, developing the efficiencies in the economies of scale of being a larger company, and removing non-value added tasks from our local operators, so that they can have more time in their days to do what they are truly passionate about, which is caring for the seniors that we serve. We celebrated several important milestones on our journey during the first quarter that we will discuss today. Firstly, Capital Senior Living has worked with our food supplier, U.S. Foods, and their blueprint menu program to implement a new national menu system that went into effect in early April. This system will ensure that every meal plan for our residents is reviewed by a registered dietitian to ensure that we are effectively meeting their nutritional needs. Well there will be some regional variations based on the request of our residents. The menu system will create much more standardization of our food offerings across the country to allow for more effective training of our dietary staff, better quality of our meals, and reduced cost overall to decrease variation in products selection and food wastage. In conjunction with the new menu program, Capital Senior Living also implemented a new national procurement platform called DSSI, which we are very excited about. This platform creates a single electronic procurement portal through which all purchasing a capital communities will eventually flow. This system will allow us to better track spending habits in our properties, guide purchasing habits, and enhance utilization of GPO contracts to drive down overall costs. We went live with this program in the first quarter using U.S. Food as our first vendor and we are able to set up a more restricted purchasing formulary that only allows our end users to purchase the food products that are driven by the new national menu system or on our GPO contracts and have been reviewed by our food experts as being of appropriate quality for our residents. We are now in the process of optimizing our purchasing formulary for non-food items and will incorporate this spending into our DSSI platform in early May. Vendors also submit their invoicing directly into the DSSI system electronically, which will greatly reduce our AP cycle allow us to centralize the AP function at the home office for most purchasing and put us in a position to better take advantage of prompt pay discounts and rebates offered by many of our vendors. Most importantly, this platform streamlines the purchasing process significantly by creating an intuitive pick list of items and gets our end users out of the business of shuffling paper invoices at the local level, which will give them time back in their days to enhance the care environment for residents. We continue our process of evaluating opportunities to optimize our fixed costs spend across the company as well through our partnership with SIB, and we finalized renegotiations of elevator maintenance, pest control and waste management contracts to shift from local agreements to regional and national agreements in the first quarter. We are now finalizing our review of telecommunications, internet, cable and utilities contracts and expect that significant economies of scale will be achieved in 2018 and beyond through aggregating the spend more effectively. I am happy to report that the standard staffing grids that were implemented late last year have greatly assisted the local operators in effectively flexing their staff to a level that is commensurate with current occupancy and our contract labor reduction has also been maintained. We finalized an agreement in the first quarter with a national staffing supplier named [indiscernible], which will help us to achieve consistently lower rates for contract labor in those rare instances in which we have no alternatives to short-term contract staffing. We are very proud of our progress and rebasing the expenses of our company into a much leaner and more efficient operating model, but our most important obligation remains to provide the highest quality care possible to the residents we serve. To that end, we have now fully implemented our lean daily management program across the company to drive continuous improvement in core quality metrics. This process is a foundational element to the new capital operating system and involves a daily safety huddle held every morning in each of our communities to discuss leading indicators of residents safety such as staffing levels, perform an in-depth review on any recent safety events, and focus the entire leadership team on their role in implementing process changes to enhance the overall safety and wellbeing of our residents. We have also begun incorporating the results of our internal quality assurance audits to help set lean daily management goals for the facility leadership. We also recognize that our residents have placed a unique trust in us when they chose to live in a capital community and we are dedicated to create a vibrant and supportive home environment for our seniors. We celebrated the initiation of two cultural programs in the first quarter that we feel will engage our residents in new and exciting ways. The first program is a national partnership with an organization called Music Together, which will offer intergenerational music education classes in our communities and allow our residents to connect with local children and reconnect to their own use through the power of music. We also understand that our residents are often extremely active in fund raising and philanthropy before they move into our communities, and we wanted to create opportunities for our residents to continue their philanthropic efforts as part of the Capital Senior Living family. To that end, we initiated a national day of service to correspond with the Alzheimer's Association the longest day fundraising campaign. Residents in each of our communities will have the opportunity to participate in engaging events to help raise funds for Alzheimer's research, a cause that is near to the hearts of many of us and those that we serve. We believe that this philosophy of providing high quality care, comprehensive services, and unique cultural events will serve as a key differentiating factor for Capital Senior Living going forward. Capital Senior Living is also investing in our sales organization to fuel occupancy growth. Our two prong strategy involves optimizing our traditional sales cycle through evidence based sales training and a metric driving accountability of our field based sales force and simultaneously seeking new and innovative ways to diversify our referral streams going forward. Affiliations with healthcare systems and providers will be an important component of our diversification strategy and we continue to make progress with several healthcare systems in our markets around our role in their broader ACO infrastructure. I am pleased to welcome John Klitsch, as our new Vice President of Sales and Business Development and a strong sales background coupled with acute care experience in building ACO's and other innovative partnership models with physicians will be instrumental in helping us to finalize these affiliations in the coming months. While the high attrition we experienced in the first quarter presented a significant operational challenge. I'm incredibly proud of how our staff and leadership responded by keeping expenses in line with occupancy. This represents an emerging maturity of our field based leadership to recognize and react appropriately to changing market conditions to preserve margins in light of fluctuating volumes. Our recent attrition also represents a significant opportunity for our staff to redouble our efforts and keep our residents healthy and vibrant to continue to enhance the quality of care in our communities and this will be our focus throughout the remainder of the year. It is now my pleasure to hand off the call to our Chief Financial Officer, Mr. Carey Hendrickson to review our financial results from the first quarter. Carey?
Carey Hendrickson: Thank you, Brett, and good afternoon, everyone. The broad-based improvements that have been implemented across our operating platform beginning in 2017 and continuing into 2018 and are focused execution on these initiatives are translating into consistent year-over-year growth in same-community revenue and net operating income. As Larry noted early, we've now achieved growth and same-community net operating income for seven consecutive months, including each month in the first quarter, which is historically the most challenging quarter of the year. Our financial occupancy declined in line with their expectations in the first quarter and with lower than anticipated and expenses, our CFFO exceeded our internal projections. In the results I'll discuss in the remainder of my comments, and as we note in the press release, the Company's non-GAAP measures exclude two communities that are undergoing repositioning, lease-up of higher licensed units or significant renovation and conversion. The non-GAAP measures continue to include the two Houston communities impacted by Hurricane Harvey since our business interruption insurance restores their economic loss. However, the Company's statistical measures, as shown on the last page of the earnings release, exclude the results of the two Houston communities since they currently have no residents or revenue and to include them would make the statistical measures less meaningful. The Company reported total consolidated revenue of $114.5 million for the first quarter of 2018, which was decrease of $1.3 million over the first quarter of 2017 due to lost revenue associated with the two Houston communities impacted by Hurricane Harvey. Revenue for those two communities in the Houston area was $2.4 million in the first quarter of 2017. Operating expenses decreased $1.1 million in the first quarter of 2018 to $71.7 million. Operating expenses in the first quarter of this year included a $1.6 million business interruption insurance credit related to our two Houston communities impacted by Hurricane Harvey. The intent of the BI adjustment is to cover our lost revenue and any continuing expenses that we have with the goal to restore the average net operating income we had at these two communities prior to the Hurricane. The BI coverage will continue for 12 months after we complete the restoration of our communities and receipts state and local approvals for occupancy or until we reach our previous level of revenue from these communities whichever comes first. Remediation of those two communities is nearing completion. We expect to begin admitting residents at one of the communities in early May and at the other community by the end of May. Our general and administrative expenses for the first quarter of 2018 were $6 million compared to $6.2 million in the first quarter of 2017. Excluding transaction costs for both years, our G&A expense increased $200,000 in the first quarter as compared to the first quarter of 2017. G&A expense as a percentage of revenue under management was 5.1% in the first quarter of 2018 compared to 4.9% in the first quarter of last year. Adjusted EBITDAR was $37.9 million in the first quarter of 2018 compared to the $37.7 million in the first quarter of 2018 compared to the $37.7 million in the first quarter of 2017. Adjusted CFFO was $10.4 million in the first quarter of 2018, which as I noted earlier exceeded our expectations coming into the quarter. This compares to $11 million in the first quarter of last year. Same-community revenue increased $1.1 million or 1% over the first quarter of the prior year. Our same-community occupancy was 86.1% in the first quarter, a decrease about 100 basis points from the fourth quarter, and a decrease of 130 basis points from the first quarter of last year. Our same-community average monthly rent increased 1.7% from the first quarter of last year. Same-community operating expenses increased only $400,000 or 1% versus the first quarter of last year. Our employee labor cost increased only 1.3% in the first quarter of 2018. Excluding communities with conversions of units to higher levels of care, our employee labor cost increased only 0.5%. Our food costs decreased 4.4% in the first quarter, while our utilities increased 8.3% over the first quarter of 2017, due to the long and colder than usual winter weather. If utilities had increased on our normal rate, our CFFO would have been about $0.01 higher on a per share basis. With excellent manage of our expenses by our ops team, our same-community NOI increased approximately 1% in the first quarter of 2018 as compared to the first quarter of 2017. Contract labor costs, which were higher than usual in the first three quarters of 2017 before returning to more historical normalized levels in the fourth quarter, actually decreased 16.1% year-over-year in the first quarter of 2018. Looking briefly at the balance sheet, we ended the quarter with $23.3 million of cash and cash equivalents, including restricted cash. During the first quarter, we spent $5.6 million on capital expenditures, $1.2 million of which was for recurring CapEx. Our mortgage debt balance at March 31 was $958.8 million at a weighted-average interest rate of approximately 4.7%. At March 31, all of our debt was at fixed interest rates except for two bridge loans that totaled approximately $76.4 million. The average duration of our debt is approximately 6.1 years with 92% of our debt maturing in 2021 and after. As Brett noted in his remarks, we are making very good progress on our 2018 cost initiatives that will begin to have some impact in the second quarter and will have greater impact in the third and fourth quarters. We successfully launched our front-end procurement system with DSSI on April 1. Food is the category we've moved to this system first and as a cost category with the greatest savings potential. We will begin adding additional cost categories in early May as Brett noted. This system will move us to electronic processing of invoices that will greatly improve our workflow, allowing for the centralization of certain accounts payable functions. Importantly, it will reduce the administrative burden on our community personnel they can concentrate on taking care of residents and other duties directly related to the success of their communities. And as Brett also noted, we've negotiated national contracts for several cost categories with more to come. With our first quarter CFFO approximately $0.01 ahead of our internal expectations coming into the quarter and our initiatives for the remainder of the year progressing as expected, we reaffirm our full-year guidance for 2018 of CFFO growth in the range of 4% to 6.5% before acquisitions for full-year 2018 as compared to 2017 with same-community NOI growth in the 2% to 4% range for full-year 2018. If one were to calculate our 2018 CFFO range on a per share basis, it would translate into a range of $1.62 to $1.66 per share before acquisitions for full-year 2018. As a reminder, we are not providing quarterly guidance in 2018, but as we look to the second quarter, we expect second quarter CFFO to increase sequentially over the first quarter. As we've noted, our occupancy declined in line with our expectations in the first quarter, which puts us in a considerably better position from an occupancy standpoint than at this time in any of the last three years. We expect our financial occupancy to stabilize in the second quarter before beginning to grow at a greater rate in the third quarter. Also we expect our rate growth to accelerate in the second quarter and continue through the remainder of the year. The second quarter is typically the quarter with the mildest weather and lowest utilities with second quarter utilities generally approximately $1 million lower than the first quarter. However, the second quarter has one additional day compared to the first quarter, and each additional day in a quarter represents approximately $600,000 of additional expense due mostly to the additional labor for hourly workers and additional food costs. We currently expect our expense initiatives, most notably the front-end DSSI procurement system and the nationalization of contracts to reduce second quarter expenses by approximately $250,000 with greater impact in both the third and fourth quarters of the year, perhaps as much as $500,000 to $750,000 per quarter. We expect our labor costs to increase at a continued moderate level through the remainder of 2018, increasing approximately 2% to 2.5% year-over-year in the remaining quarters of 2018. As we noted on our fourth quarter and year-end call, we expect our G&A to increase in 2018 and for some important investments and people, as Larry described, primarily in the operations team and systems. We currently expect G&A to be approximately $6 million before transaction and conversion costs in the remaining quarters of 2018. These G&A initiatives are expected to result in improved financial results that exceed the additional cost. We believe the successful execution of our clear and differentiated real estate strategy will result in outstanding growth in our key metrics over time and positions us well to create long-term shareholder value as a larger company with scale, competitive advantages and a substantially all private pay business model in a highly fragmented industry that benefits from long-term demographics, need-driven demand, limited competitive new supply in our local markets, a strong housing market and a growing economy. That concludes our formal remarks and we would now like to open the call for questions.
Operator: [Operator Instructions] We’ll take our first question from Chad Vanacore with Stifel. Please go ahead.
Chad Vanacore: Hey, good evening all.
Lawrence Cohen: Hi, Chad.
Chad Vanacore: Hey, so just looks like occupancy to me, looks like it took a sequential beating pretty heavy starting the first quarter. Starting thus far in the [hold] in the first quarter, how do you bridge back to higher occupancy by the end of 2018?
Brett Lee: Chad, this is Brett. We have a multi-pronged strategy to continue to grow occupancy, first of which in addition to adding John Klitsch as our Vice President of Sales and Business Development. We have now created a new organizational structure within our sales and marketing structure to essentially separate the responsibilities with a Senior Director of Sales that reports to John and a Senior Director of Marketing that reports that to me. The focus of our field based sales force now is training them on an evidence based sales cycle, so that they understand each key component of the sales cycle in making an emotional sale. We have a national sales training platform that we've rolled out and now continue to optimize. We're doing very focused secret shopping to get feedback about where we can enhance that sales cycle. And then we are also on the marketing side focused on differentiating our marketing strategy through greater use of electronic marketing tactic, social media marketing, which is something that we've piloted over the last couple of months in our Red Zone properties that are – those that are most struggling with occupancy and we've gotten some really good results in driving new leads to our properties. We're also doing some innovative things in terms of our utilization of a centralized call center having leads go directly from our third-party aggregators, such as A Place for Moms into the call center. So that we have more rapid turnaround and that those get handed off as a warm lead to our communities in a more rapid fashion, and we're also using the call center to do some mining of our old leads. So everyone's on a little bit of a different decision making cycle, some may take longer and so those leads that are more than 90 days old get continuously mined by our call centers, so that we can continue to have a touch point with those individuals. And we've seen some nice early results from that as well. So we're looking to optimize our current revenue and sales cycle. While we're still looking to diversify into some new ways to grow, our market share and that's really where some of these innovative healthcare partnerships start coming into play, and we're making tremendous progress in some of the dialogues that we're having from an accountable care standpoint as well. I think Larry had something…
Lawrence Cohen: Chad, I’d also like to comment, as I said in my remarks, we had the best first quarter in number of movements in the history of the company, despite probably the worst flu season the we've experienced at least a decade and pretty bad weather in parts of the country throughout the quarter. To give you some perspective, our move-ins in the first quarter were 14% higher than last year, and 10% higher than the last three years. We lost occupancy because our attrition was higher. We had a very – also our largest number of move outs and a very, very bad winter with a lot of deaths. So I'm extremely encouraged that in light of all of the commentary we hear from our peers, on the calls looking in the data, the demand is growing and more importantly on the front door we're seeing significant improvement in actual move-ins with attrition – coming down through better months, better weather throughout some seasonality and we continue at this pace we will have gains in occupancy for 2018.
Chad Vanacore: All right. So I think about that you had a good move-in but even higher attrition at first quarter. Second quarter the expectation is that occupancy is generally flat and then [indiscernible] start to grow in third quarter? Am I thinking about that the right way?
Carey Hendrickson: Yes, that’s the general trend Chad is to kind of stabilize in the second quarter and then begin to grow in the third quarter. That's right. That's the …
Chad Vanacore: Even for long flu season shouldn’t we expect occupancy to continue to decline sequentially in the second quarter and what am I missing there?
Carey Hendrickson: I think it's going to depend on how much it picks up in May and June Chad because that's really the key but we expected to stabilize out at some point in the second quarter and then begin to grow in the third.
Brett Lee: We did see about a 50 base improvement in financial occupancy in March, Chad, over February. Yes another aspect that's very important, this flu season came early. Last year flu was late it impacted into the second quarter. If you go back to 2015 which is more analogous we actually had growth in the second quarter, we're expecting flat this quarter. So I do think the timing of the flu is relevant as relates – the move outs really started to accelerate in December. And again financially they come down the second – next month, but the fact we did have gains in occupancy in March gives us some hope that we will flatten out for this quarter.
Carey Hendrickson: And Chad, as we noted that we did decrease at levels that we expected in the first quarter and because of that we continue to project our full-year revenue growth in the 2% to 3% range and our net operating income growth in the 2% to 4% range in CFFO at $0.04 to $0.06…
Lawrence Cohen: So [indiscernible] better on loss of occupancy than you projected for the quarter?
Carey Hendrickson: We were about 20 better than we projected for the quarter.
Chad Vanacore: All right. Thanks for taking the questions.
Operator: [Operator Instructions] We’ll take our next question from Joanna Gajuk with Bank of America. Please go ahead.
Joanna Gajuk: Good afternoon. Thank you so much for taking the question here. So just to confirm, so when you talk about the Q1 performance when you said it exceeded expectations on the CFFO metric, so sounds like it's, I mean I guess Carey just mentioned in – maybe occupancy was slightly better, but it’s mostly the cost, right, it came at so much better than expected?
Carey Hendrickson: That is right. Even if utilities come in high, our expenses were considerably better. Labor and food were both lower than expected more than offsetting that higher utilities. Our contract labor costs were also lower than we expected coming in the quarter, and then some of the other smaller categories just we – we were conservative in our projection of expenses and they came in better than what we projected.
Joanna Gajuk: Great. And then so when you talk about the cost savings for the coming quarter the $500,000 to $750,000 per quarter since the second half of the year, so that only reflects the currently running or to be launched program, because then you also mentioned at some point at you see there could be some additional initiatives, so that's pretty much – those savings $500,000 to $750,000 that’s the savings on what you kind of already implemented so far?
Carey Hendrickson: Based on our projection, our current projection of what we'd expect both from the food and adding some of these other categories to the DSSI front-end procurement platform for the rest of the year as well as continuing this work on the nationalization of regionalization of contract. So it's kind of a projection of all that Joanna and it's our current – we won't know that exactly impacted that until we finish some of this work. But we feel comfortable in saying that that's the level of expense savings we will get from those particular initiatives.
Joanna Gajuk: And that's obviously included in your same-store NOI projection for the year.
Carey Hendrickson: Yes. That is included in that same-store NOI, yes.
Joanna Gajuk: And then, I guess so you're talking about sort of the full-year guidance in terms of the organic growth, but previously you mentioned your plans to come back to the acquisition market, so any flavor there in terms of what should we expect and when should we expect it? Any trends in terms of valuation, and also at the same time, what do you think sort of the financing costs would be when you are doing that the next deal?
Lawrence Cohen: Yes. Joanna. Hi, it’s Larry. We are back looking at properties, looking at acquisition opportunities. We've actually created some very interesting filters of what we're looking for based on kind of our experience with our portfolio in other acquisitions. As I said, we're not going to guide two acquisitions, but we would expect that we will start to see acquisitions throughout the second half of the year, probably more in next year. Financing today that with the 10-year where it is close to 3%, we'll probably in the low fives. Again, if you look it's still lower than where it was in some of our acquisitions about three, four years ago. In fact we're actually looking at doing some refinancing now to take some of those loans back down to a lower interest rates from what we've borrowed out, which is close to the mid fives a few years ago – four or five years ago. So we think that the market is still attractive for acquisitions. We feel that the – one thing that's very important as you know when we made acquisitions previously, our culture and operating platform was much more decentralized. So we bought buildings. We really continued to run them the way the former owner did with our insurance programs. We put in our GPO for food, but that was pretty much the limit. We did our policy procedures and training. If you look at how robust the initiatives are that are going to be rolled out this year across the full expense item area, we should get further economies immediately on those acquisitions, which we didn't necessarily receive in our past experience.
Joanna Gajuk: Great. Good color. And also another I guess related topic, because I guess the latest sort of semi acquisition transaction just done and what’s the buyback of your leases from your landlord, so any plans on that front in terms of sort of low risk improvement in cash flows by doing that?
Lawrence Cohen: We are working with our landlords on a multi-tier strategy to reduce our lease exposure, improve our balance sheet, and improve our portfolios performance. We were successful in buying four properties back from Ventas in the first quarter of last year. We are looking also at disposing of a few properties with some landlords properties where mortgage may have turned, but we feel that it's a good time to sell some non-core assets and eliminate those from our lease, which will improve our coverages and our cash flows. And we're continuing to have a very good discussion with other landlords of ways that we can restructure, which could include buying back or other ways to restructure our leases to continue to reduce our lease exposure and increase the percentage of our ownership as relates to our total portfolio.
Joanna Gajuk: So is there something more immediate that we could expect within the next, call it 12 months or it's still kind of early to talk about that?
Lawrence Cohen: I think over the next 12 months, we will have more to discuss.
Joanna Gajuk: Okay, great. Thank you so much for the color. I’ll go back to the queue.
Lawrence Cohen: Thank you, Joanna.
Brett Lee: Thank you, Joanna. End of Q&A
Operator: [Operator Instructions] And it appears there are no further questions. At this time, I’d like to turn the conference call back over to Larry for any additional or closing comments.
Lawrence Cohen: Thank you very much for your participation and support, as always feel free to contact Carey or myself if you have any further questions. We also look forward to seeing a number of you at upcoming conferences over the next month or two, and we wish you a very good evening. Thank you very much.
Operator: And once again, that concludes today’s conference call. We thank you all for your participation and you may now disconnect.